Operator: Welcome and thank you for joining the Ipsos Q1 2024 Results Conference Call and Webcast. As a reminder, all participants are in listen-only mode. After the presentation, there will be an opportunity to ask questions. [Operator Instructions]. At this time, I would like to turn the conference over to Ben Page, CEO. Please go ahead, sir.
Ben Page: Thank you very much and thank you to everybody on the call for joining. Good afternoon and good evening. It gives me great pleasure just to take you through the first three months results of the year. And - the headlines are 4.8% growth, with revenue of €558 million. That growth is comprised of 4.5% organic growth, but also a 2.7% scope effect, because of the acquisitions that we added last year. There is a negative FX effect, but overall 4.8% in absolute terms. What I'd now like to do is just hand over to my CFO, Dan Levy, who will take you through a few more of the details. Dan?
Dan Levy: Thank you very much, Ben. So let's start with the revenue breakdown by region. As you can see on this table, we realized a very strong performance in EMEA in Q1, with an organic growth, which is nearly 10%. Performance is very good in most Continental Europe markets and in particularly in Switzerland and Germany. Germany is doing far better this year, as compared to what it used to do in the past years. It seems that the recent change in management in Germany is starting to pay off. Very good performance as well in Asia Pacific, which recorded an organic growth of above 9% as you see on the chart. India and Southeast Asia, which had already done very good performance in 2023, are continuing their momentum with double-digit growth. We see also some growth in China in Q1, but we prefer to remain cautious at this stage on China, given the lack of macroeconomic visibility, and the structural challenges that the Chinese economy is currently facing. In the Americas, we keep a good momentum in Latin America, but as you see on the chart, the Americas globally are down by around 3%, coming from the United States. We are facing the United States some market softness impacting most professional services sectors, and we observe also from our client, a kind of wait-and-see attitude, due to the forthcoming presidential election in November that certainly creates uncertainty. So our performance in the U.S., as you have understood, is uneven. On the one hand, we have made progress and we have seen some recovery from most of the major tech clients, and we expect on tech clients moderate growth in 2024, both in the U.S. and globally speaking. Our service lines dedicated to consumers in the U.S., are also doing very well. But on the other hand, our public-affairs business is suffering from the end of a few non-recurring contracts that we had in 2023, and also a slowdown ahead of the presidential election, which is a usual pattern when you have general election on public affairs. Healthcare activity is temporary down in the U.S. as well, but it should recover in the coming months. We have here a timing effect, because some contracts were booked a bit later in 2024, but compared to 2023. And so all in all, the market will remain difficult in the U.S. in the short-term, but we expect performance to improve during the course of the year. And our order book in the U.S. at the end of March is ahead of our revenue, so there should be some catch-up during the course of the year. I also would like to point out that a new country manager is going to be appointed in May in the U.S. with a new managerial organization, which will be put in place in North America to support our strong ambition in North America. America, I remind that you, represents half of the market research globally. It is a very fragmented market and it is a market in, which we have a lot of growth opportunities. Turning now to the performance by audience. As you see on the chart, we have very good performance on consumer activity with double-digit growth. This reflects the very strong resilience of our activity with CPG clients, which is particularly driven by our service line, which focus on innovation, on brand tracking, on market positioning and on qualitative studies. The other audiences, would it be clients and employees, citizens, doctor and patients, are impacted by the unfavorable environment that I described in the United States, but if you exclude the United States, all these audiences are showing very solid growth. We are doing well - as well on our new services. So our new services, I remind you, encapsulate all our platforms, Ipsos Digital, Ipsos Facto, our ESG offer science and data, and particularly our data analytics work advisory. And this is growing nicely at 15% organic growth in Q1 and now represents 21% of the group's revenue. And so, I leave the floor to Ben for a focus on the last development on generative AI that we - are obviously develop more during our Investor Day in June.
Ben Page: Thank you very much, Dan. And I wanted to just include a brief update on where we are on GenAI, because it is one of the areas where we've seen some of the most rapid transformation of Ipsos starting from virtually nothing in some ways in early 2023. So we were using algorithms, we were using machine learning before ChatGPT was launched in November 2022. But of course as soon as it was available and visible, it was immediately obvious that we would be able to use that across our business and make some significant changes, to how we do things. So in early 2023, we launched our own platform Ipsos Facto. I think we believe we're ahead of our competitors in that space, and there we are trying to let people use it to be more productive on a daily basis. We are building now prompt libraries, for each part of our business and some of these are now 30 pages long. If you just imagine 30 pages of text printed out, that's the type of thing that we're doing, because we can now of course and one advantage is a larger company in this space. We can bring together thousands of people's work together and then share it to even more people, in order to use it to make a difference to what they're doing. So whether it's translation, summarizing documents, creating ideas, and I'll show you an example in a minute, we're finding it applicable across the business. So, we're democratizing it, we're operating it and we're innovating it, but of course we're able to do that on a secure platform that, allows us to use client data with their permission in a way that, you can't if you're just using a public one. This year, we've gotten most of our employees now using it, we're launching 12 new products and solutions this year across nine different service lines and what this fundamentally shows is that we're combining our human intelligence, which is something that distinguishes Ipsos. We're always about the people and the skills of our people, but enhancing that with artificial intelligence. So, we think we have some of the best large language models on the market that we're deploying. We've got over 13 now being used inside Ipsos Facto, but also combined of course with all of our benchmark and historic data. So to give you an example of that, these are some of the new products that we're launching. InnoExplorer is a way of rapidly generating new ideas. And I'll show you how that works in a second, that is - one of our clients said to us when we showed it them, just said take my money, they want to use it immediately. Product transfer, looking at how well products might move from one culture and one market to another and again using AI in that sense. Our signals, gen - AI offer, allows us to take all of the social data that we have farmed and gathered together and collated over the last few years, billions of bits of data. And then immediately analyze that to look for insights that haven't been detected before and one of our major clients has already given that a prize last year. AI-boosted workshops being used by our qualitative researchers, to create new ideas and deal with the fact that and however skilled individuals are, every single human being carries some sort of bias, or perception bias, or focus bias compared to another. And this using AI in this context allows a more comprehensive view and just checks that we haven't - nobody has forgotten anything. We also will be launching shortly in the next coming quarter an AI maturity model, to allow people to predict how their own business could use AI. We're using better segmentations, mimicking consumers with synthetic personas. And we will be helping people, our clients, curate this vast quantities of data that they hold and that we often hold on their behalf, using AI assisted curation later this year and that's hugely important when people can just ask what, does the data show about something. So there are some of the examples. InnoExplorer is a particularly interesting one. It's an end-to-end solution for identifying new innovations. It creates ideas, new concepts and products, but it leverages the database of 150,000 previously tested innovations. So the way it's different to many other things on the market is that it builds in authentic consumer experiences from fresh data to train an AI model. We then of course, use our own expertise and experience in working on CPG innovation, other sorts of innovations with engineered prompts of the type that I've just described. And then of course, we can fine-tune the algorithms using the databases that we already have. So, it's using this - it's finding new uses for large volumes of extent data that we have collected over decades that is really exciting about this, and one example that we've done recently is for Arena in the pet food market. Here they're trying to find new products, new services in the United States. What this allowed us to do was identify 42 new ideas for different types of cat and dog food, very competitive market, rapidly identify the ones that might have the most potential using InnoPredict, which looks at once you've created the idea how well it might perform. And then of course, let the client go with that concept to full development much more quickly and much more cost effectively. Which is precisely, of course, the type of advantage that we believe generative AI will give many consumer facing businesses. So in terms of the outlook going forward, I hope that's whetted your appetite for one of the events coming up. The first is, of course, the Annual General Meeting on the 14th of May for those of you who enjoy Annual General Meetings. And then a longer session on the Annual Investor Day on the 12th of June, where we'll take you through what we're doing on AI, but also what we are doing on speeding up and modernizing our digital backbone in general and how technology is playing out according to our roadmap across the business. So, I look forward to seeing many of you at one or two of those, or both of those events. And just to confirm, given all of the numbers that we can see, we are on course for our organic growth as predicted of over 4%, were confident about that and absolutely on the operating margin of around 13%. But I'm sure that colleagues on the call will have questions and Dan and I are very happy to take them now. Thank you.
Operator: [Operator Instructions] The first question is from Conor O'Shea with Kepler Cheuvreux. Please go ahead.
Conor O'Shea: Yes. So, thank you and good evening everybody. Three questions from my side on the U.S. business. I probably won't be too surprised at that. But first question, I wonder can you give us just a clearer sense of how much the decline in the U.S. was, so stripping out the LatAm growth. Secondly, can you say whether to what extent do you think that decline, was related to market effect as we count - our weak numbers still in the U.S. into the end of the year, but you had some management say disruption there and a bit of a vacuum. To what extent do you think that played a part and looking ahead with the arrival of new management in May, to what extent can that be rectified quickly? And then the third question, just if you can give us a sense of the proportion of revenues that the public affairs business represents in the U.S., in your U.S. activity? Thank you.
Ben Page: Let me try and answer a few of those. We aren't doing a running commentary. I'm afraid on individual countries, Conor. But you can probably make some kind of estimate. I think it's a mixture of the market effects that you can indeed see as you've remarked in the Kantar numbers as well, where actually according to the numbers they've just published, if I understand them correctly, they actually declined by 2% in the U.S. last year. We grew slightly. So it is a slightly more disrupted and tough market. The PA business in America is a large, slightly large proportion in globally, because of course it's a very large government in Washington. And I think having spent a fair amount of time there in the process of choosing the new CEO, I've been going there for around 10 days a month for a few months now. I think it's clear, what I find encouraging about the situation, although the numbers of course are less so at the moment, is that - we have a very clear view about what we need to do. I've been spending time with the senior leadership team there. We've already spent time with the new CEO, who we - for contractual reasons we can't announce yet, and exactly who it is, but we've spent time with them. We know what we're going to do, and I'm confident that we will start to make progress. But it is a big and complex country.
Conor O'Shea: Understood. No, fair enough. Thanks Ben.
Ben Page: Thank you.
Dan Levy: And as for the share of public affairs in the global business in the U.S., it's roughly 12%.
Conor O'Shea: Okay. Thanks Dan.
Operator: [Operator Instructions] Mr. Page, Mr. Levy, there are no more questions registered at this time. I'll give the word back to you. Oh, sorry. We've got a follow-up from Conor O'Shea. Please go ahead, sir.
Conor O'Shea: Take a couple more questions. And so, do you think, going back to the U.S. business, you're quite happy that the market effect there - there's no risk of AI already being deflationary in the market that some of your clients?
Ben Page: Yes, it's still, I think it's still too early to see that actually Conor, and it's, there's as much opportunity and new opportunity and excitement in terms of potential as there is, you know, it isn't yet like PowerPoint. I'm still one of those people who believes that ultimately, it will tend to be like PowerPoint rather than something that eats the world, or something that's fundamentally different. But no, I think it's a bit too early to tell. What we can see is real excitement about some of the new services that we're offering, which is driving engagement with our clients and helping with growth. But let's wait a bit longer, because I think the other thing to say is that it's moving so quickly that it's, you know, it's the potential and applications change almost every week that you can think about.
Conor O'Shea: No, no, fair. And can you give us a little bit. You used to give this number in the past, maybe the half year, and maybe you have it done. Emerging market - growth in emerging markets versus developed markets. Overall in Q1, the organic growth, was it faster in, I guess, with the U.S. dragging down, it should have been faster in emerging markets. Is that fair to assume?
Dan Levy: Yes, so we - don't communicate this number, but qualitatively speaking, as you say, given the dynamics in different regions, it's what you say, which is basically that the emerging markets will be growing quicker than the other markets, yes.
Ben Page: Yes, because apart from Europe's doing well, Africa, LatAm, AsiaPac all doing well.
Conor O'Shea: Okay. And last question, just in terms of the mix of growth in the first quarter, I think, in theory the U.S. business is a higher margin business. That may or may not be the case in the public affairs, healthcare activities in the U.S. for you. Does that mix effect so far, make it a little bit harder for you to achieve your margin target, although you already confirmed it, but does that make it hard to work or…?
Ben Page: Actually no, we're seeing.
Ben Page: I think it's evening out, and we're seeing margin improvement across the business, and as we systematically deploy things like Ipsos Digital, which is growing well, the Harmony platform, which speeds up production of reporting Ipsos Facto itself. Again, we're seeing the same trends on margin, but it's across the piece. So yes, volume is a challenge in the United States, but margin globally, we're feeling reasonably comfortable, pretty comfortable about, to be honest.
Conor O'Shea: Okay. So did headcount increase overall at the end March versus December or not - group headcount by acquisitions?
Ben Page: I don't think we're publishing the headcount figures, but we're managing, as we did last year, and you know that we managed the payroll very carefully, which is why we were able to deliver a good margin, even though the growth wasn't quite as much as we expect we'd be hoped for. We will do precisely the same thing this time, but where we're growing and need some people, we will get them. We will also look at, of course, we continue to look at hiring people when we do hire them in places like India. So actually, the other thing is really the payroll, is slightly different from the headcount potentially because of course, if you're hiring in markets like India for back office and support functions, or even integral parts of teams, it starts to become a slightly academic question.
Conor O'Shea: Many thanks.
Dan Levy: As you have seen, we are growing 10% in Asia Pacific, we're growing by 10% in Europe globally. We are doing very strongly as well in LatAm. And so obviously you have to fill the growth from that perspective as well. But as Ben said, we manage very carefully the operating costs.
Conor O'Shea: Okay. Understood. Thanks, Dan.
Operator: [Operator Instructions] Gentlemen, there are no more questions, registered. I'll give the word back to you.
Ben Page: Okay. Well, thank you, everybody. And as I say, we look forward to seeing some of you at the AGM and at the Investor Day. Thank you.
Operator: Ladies and gentlemen, thank you for joining. The conference is now over. You may disconnect your telephones. Thank you.